Operator: Good morning. My name is Sylvie [ph] and I will be your conference operator today. Welcome to the New Gold's Third Quarter 2024 Earnings Conference Call. Please note, that all lines have been placed on mute to prevent any background noise. Please be advised that today's conference call and webcast is being recorded. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Ankit Shah, Executive Vice President of Strategy and Business Development. Thank you.
Ankit Shah: Thank you, Sylvie and good morning, everyone. We appreciate you joining us today for New Gold's third quarter 2024 earnings conference call and webcast. On the line today, we have Patrick Godin, President and CEO; Yohann Bouchard, our COO; and Keith Murphy, our CFO. In addition, we also have Luke Buchanan, Vice President Technical Services; and Jean-Francois Ravenelle, Vice President, Geology, available to assist during the Q&A portion of the call. Should you wish to follow along the webcast, please sign in from our homepage at newgold.com. Before the team begins the presentation, I'd like to direct your attention to our cautionary language related to forward-looking statements found on Slide 2 of the presentation. Today's commentary includes forward-looking statements relating to New Gold. In this respect, we refer you to our detailed cautionary note regarding forward-looking statements in the presentation. You are cautioned that actual results and future events could differ materially from those expressed or implied in forward-looking statements. Slide 2 provides additional information and should be reviewed. We also refer you to the section entitled Risk Factors in New Gold's latest AIF, MD&A and other filings available on SEDAR+ which set out certain material factors that could cause actual results to differ. In addition, at the conclusion of the presentation, there are a number of endnotes that provide important information and should be reviewed in conjunction with the material presented. I will now turn the call over to Pat for some opening remarks.
Patrick Godin: Thanks, Ankit and good morning, everyone. We had a lot of success in the third quarter. We also had some difficult moments. I take this opportunity to commend the team, not just for their accomplishment but also for how they respond and support each other. As a result, the company is well positioned and we look forward with confidence. Our operations delivered the strongest production quarter of the year-to-date with a 40% increase in production over the second quarter and a 13% decrease in all-in sustaining costs. Rainy River delivered an impressive 29% reduction in all-in sustaining costs compared to the second quarter. The strong cost performance allowed us to leverage the higher metal price environment and as a result, we had an excellent quarter financially with multiple records achieved, highlighted by a record quarterly free cash flow generation of $57 million. Yesterday evening, we also provided an update on our key growth projects. I'm pleased to report that New Gold C-Zone has achieved commercial production and the gyratory crusher and conveyor system has been commissioned well ahead of schedule. The importance of these milestones cannot be overstated and will have a direct and positive impact on production, cost and cash flow. Rainy River also achieved first development ore from the Underground Main zone. Although the ore tonnage from Underground Main will stay relatively low until we commence stoping next year, the achievement marked a key milestone in our plan to prepare the underground mine and ramp up production of higher-grade underground ore. We also realized positive exploration result at both operations during the third quarter. At New Afton, the high-grade Eastern Sector of the mine continues to grow with promising results at C-Zone and Hanging Wall zone. And at Rainy River, in our first major exploration program since 2017, we are already seeing positive results extending open pit and underground mineralization. With that, I will turn the call over to Keith.
Keith Murphy: Thank you, Pat. I'm on Slide 6 which has our operating highlights. As Pat mentioned, Q3 delivered the highest production and lowest costs of the year. Production totaled approximately 78,400 gold ounces and 12.6 million pounds of copper. This represents a 14% increase in gold production compared to the second quarter, driven by higher feed grades at Rainy River. Consolidated all-in sustaining costs for the quarter were $1,195 per gold ounce, in line with our plan. This is a decrease of 13% over the second quarter. This is highlighted by strong cost performance at both operations, with Rainy River continuing to decrease its all-in sustaining cost and New Afton achieving an all-in sustaining cost of negative $408 per ounce, after considering the copper credits. We expect the increase in production and decreasing cost trends to continue into the fourth quarter, mostly as a result of higher production at Rainy River and lower costs at New Afton. Our total capital expenditures for the quarter were approximately $63 million, with $20 million spent on sustaining capital and $43 million on growth capital. At Rainy River, sustaining capital is primarily related to capitalized waste, capital components and tailings management and construction. Sustaining capital is trending lower than guidance as a lower proportion of waste tonnes are capitalized and a higher proportion remains in operating costs but with no net impacts on all-in sustaining costs. Growth capital is related to underground development as the Underground Main zone continues to advance. At New Afton, sustaining capital is primarily related to tailings management and stabilization activities. Growth capital is primarily related to the C-Zone underground development and is tracking to the low end of the guidance range due to efficient capital management and early commissioning of the crusher and conveyor system. Turning to our financial results on Slide 7. Third quarter revenue was $252 million which is a quarterly record. Q3 revenue was higher than prior year quarter, primarily due to higher metal prices and higher gold sales, partially offset by lower copper production. Cash generated from operations before working capital adjustments was $120 million or $0.15 per share for the quarter, higher than the prior year period, primarily due to higher revenues. New Gold generated record free cash flow of $57 million due to higher revenue and lower capital expenditures. The company recorded net earnings of approximately $38 million or $0.05 per share during Q3, an increase due to higher revenues. Earnings were also impacted by lower depreciation than originally planned due to the lower accounting asset base resulting from the deemed disposition of assets at New Afton, when accounting for the OTPP buyback in May of this year. After adjusting for certain other charges, net earnings was -- adjusted net earnings was $64 million or $0.08 per share in Q3, a significant increase compared to adjusted net earnings of $23 million in the third quarter of 2023. Our Q3 adjusted earnings include adjustments related to other gains and losses. At the end of Q3, we had cash on hand of $133 million and a liquidity position of $459 million. This is after the company made a payment of $43 million to the Ontario Teachers' Pension Plan as part of the minimum cash guarantee under the terms of the original 2020 agreement and also repaid $50 million of the $100 million drawn in its credit facility to fund the payment under the amending agreement with Ontario Teachers which was entered into in May. And subsequent to the quarter end, we paid an additional $20 million on the credit facility, leaving a balance of $30 million outstanding which we expect to pay off by the end of the year. To sum up, we remain in a very healthy financial position. Now, I'll turn the call over to Yohann to walk through our operating highlights. Yohann?
Yohann Bouchard: Thanks, Keith. Starting with Rainy River on Slide 9. Gold production in the third quarter was slightly below 78,400 ounces. Although it was our operation's strongest quarter so far this year, we were slightly behind plan at the end of September and we're expecting full year gold production to be about 15,000 ounces below the original guidance range. There's two main reasons for that. First, as discussed on the second quarter call, operations were impacted by a voluntary suspension following a fatality in July and the progressive return to full production. Both front-end loaders were temporarily removed from the fleet. Additional safety device were installed on one of the units and the same unit returned to production only a few days ago. The second loading unit is still waiting for parts and not necessary for production on the short-term. Second, we have less high-grade ore on 2 benches in the open pit. Some rich pockets of high-grade ore on the 160 and 150 benches were lower tonnage than originally expected. Although the impacted volume was relatively small, the reduction in high -grade mill feed impacted gold production. Going forward, the team has reviewed the occurrence of high-grade blocks, considering additional grade control data and historical reconciliation, leading to an adjustment of a small percentage of ore block to mitigate risk. I am confident in the open pit mine plan for the last quarter of this year and our 2025 and 2026 production outlook remains unchanged. Despite the lower gold production, the team has done an excellent job to control costs. The third quarter all-in sustaining cost is about 29% lower than the previous quarter at $1,327 per ounce on a byproduct basis. With the fourth quarter expected to be our lowest cost quarter of the year, we are trending to the top end of the guidance range for the full year. Turning to Slide 10. Rainy River also completed some significant project milestone in the underground mine during the third quarter. As you know, the underground mine is divided into 2 main sectors; Intrepid which has been in production since 2022 and the much larger Underground Main sector which we're currently developing. In Q3, raiseboring on the main fresh air raise and the second portal located in the east wall of the pit were completed. The second portal will provide a second means of egress and improve ventilation for Underground Main and will also significantly reduce the underground haulage distances. The operation also achieved first ore development at underground Main ahead of schedule. Although the ore tonnage is still quite small, it marks a significant milestone in our plan to prepare the Underground Main sector for stoping in the first half of next year and ramp up to about 5,500 tonnes per day by 2027. Turning now to New Afton on Slide 11. New Afton delivered another strong operating quarter. B3 continued to deliver to plan with C-Zone ramping up well, leading to a 31% increase in tonnes milled over the third quarter last year, offset by the planned lower gold and copper grade from B3. All-in sustaining costs decreased significantly compared to the prior year period driven by lower operating expenses, lower sustaining capital spend and high by-product revenue. The first 9 months at New Afton delivered according to plan and we're trending favorably with the annual plan. We continue to transition from the B3 cave to C-Zone and expect to see a continued ramp-up in C-Zone mining rate throughout the year. We expect mill throughput to continue increasing in the fourth quarter, partially offset by lower feed grade due to the cave draw sequence, leading to a fairly consistent quarterly gold and copper production profile as planned. Continuing with New Afton on Slide 12. Both C-Zone commercial production and commissioning of the gyratory crusher and conveyor system is completed 2 months ahead of schedule and on budget. With the materials handling system now fully operational, truck haulage is eliminated from C-Zone, removing production constraint and resulting in significant cost reduction going forward. We also completed a total of 18 draw bells as of mid-October, achieving hydraulic radius and commercial production in C-Zone. These 2 milestones are transformative for New Afton, increasing production and decreasing costs to generate meaningful cash flow. I would like to provide an update on some of the technical study that we're working on to unlock additional value at Rainy River and New Afton, following the positive exploration results from both operations. At Rainy River, after adding Phase 3 to mineral reserves at the end of last year, we extended the open pit mine life by approximately 1 year and defer reclaiming of the low-grade stockpile. Based on the near surface exploration results this year and considering a high gold price, we're now looking at leveraging the existing mill capacity and open pit mining fleet to further extend the open pit mine life while keeping capital investment to a minimum. While still in the early stages, we have identified potential opportunities to add an additional pushback to the main pit and potentially some smaller satellite pits. At New Afton, the company continued to optimize C-Zone with the potential to increase mineral reserves at no additional capital expenditure. The team is also advancing the East extension technical study with the objective of adding a new high-grade zone to the east side -- to the east of C-Zone. This extension has the potential to improve the New Afton copper and gold production profile and also to unlock other high-grade zones in the eastern section of the mine, including K-Zone and Hanging Wall zone. In terms of news flow, the first quarter of 2025 will be active for the company. The company will report year-end 2024 Mineral Reserve and Mineral Resource in February 2025. Our 3-year operational outlook will also be provided in February, supported by an investor and analyst technical session. And the technical information for both operations will be provided in updated NI 43-101 technical report in the first quarter of 2025. With that, I will hand over the presentation to Pat for closing remarks. Pat?
Patrick Godin: Thanks, Yohann. Slide 15 summarizes our 2024 outlook. For the full year, we expect consolidated gold production to be slightly below the range that we present at the start of this year. While New Afton gold production is expected to be at the top end of that guidance range, Rainy River is expected to be below the guidance range due to the reasons that we outlined earlier. Although gold production is slightly lower than planned, all other consolidated operational metrics are in line with or better than target. Copper production is on track to be at the midpoint of the guidance range and consolidated all-in sustaining costs are trending to the lower end of the guidance range. This is a testament to the team's operational discipline and capital management. Sustaining capital is tracking below the lower end of the guidance range and the growth capital is tracking to the low end of the guidance range, partly the result of early commissioning of the mineral handling system at New Afton. Before handing over for questions, this slide summarize some of New Gold's key accomplishments. Nine months into the year and we have already successfully delivered on the majority of our stated strategic goals. A highlight for me has been the cost performance of our operations as we have highlighted throughout this presentation. By achieving our cost targets, even with the slightly lower gold production, the operations are realizing increasing margins with the higher metal prices. The increasing margins together with production growth and declining capital spending over the guidance period drives higher free cash flows. As previously reported, we achieved our free cash flow inflection point in Q2, slightly ahead of schedule and we have just achieved a record quarterly free cash flow for the company. Another key accomplishment is the successful completion of key project milestones. For New Afton C-Zone to Rainy Rivers' Underground Main project and tailings dam raise, the team consistently delivers project on schedule and on budget. Project execution is now one of New Gold's biggest strengths. With the operation running well and project advancing as planned, the company has increased exploration program this year. In Q3, we report positive results at both operations which we expect to be reflected in our year-end reserves and resources update. And finally, we reduced Ontario Teachers free cash flow interest at New Afton from 46% to less than 20% in Q2, generating meaningful shareholder value and increasing our exposure to a high-quality operation with significant exploration upside. This completes our presentation. I will now turn it back to the operator for the Q&A portion of the call. Sylvie?
Operator: [Operator Instructions] And your first question will be from Mike Parkin at National Bank
Mike Parkin: If I'm looking at Slide 13, it's an aerial view of your open pit. Just to be clear, you had some issues in the past with grade reconciliation. If I remember correctly, that was in the North Lobe but is that not completely done and behind you? And if I'm looking at it in the right orientation, that is the right side of the picture where you're actually backfilling that pit. So this, what seems to be a temporary issue is not in that problematic area of the past, that's done and behind you completely. Am I correct on that?
Jean-Francois Ravenelle: Mike, this is Jean. I can answer your question. So, no, this is not in the North Zone. It's where we're currently mining. So, as you know, I started about 3 years ago in New Gold and during that period, the open pit, the 3.5 well [ph]. But like we said, in any mine on a monthly basis, we see some positive and negative variance. But overall, it'll be asset balance. And like Yohann mentioned earlier, on 2 benches, we have rich pockets of high-grade ore that were lower tonnage that expected. Going forward, there's only a few of those high-grade blocks remaining in Phase 4, in reserves. So we've applied a capping on those remaining blocks to improve mine planning. We don't believe it will have an impact on our 2025 and 2026 production outlook.
Mike Parkin: Okay, that's great. And then at New Afton, can you just give us a bit more color? Like you've got the underground crusher online, the conveyor. Can you just give us a bit more color of how and when that's going to come on and like what kind of tonnage rates you're tracking at for like, say, the month of October? Because that was kind of, from what I understood from the site tour last year, that was kind of the key deliverable to unlocking the tonnage which is up quite a bit quarter-over-quarter but we should -- how soon do you expect to be able to bring that mill up to like full capacity now that you're really kind of unlocking the potential C-Zone with -- well both the conveyor system and crusher but I guess also the hydraulic radius being achieved. Do you expect that to be several quarters or could we actually see that achieved relatively early into 2025?
Patrick Godin: Mark, Patrick speaking. So, the first part of it is, as Yohann explained, we will accelerate the draw of B3. So I think it's one thing. And the fact that we were able to start the conveyor and crushing system in advance, it's eliminating all the trucking that were coming up the ramps to discharge the mineral site very close of B3. So it's a huge cost saving for us. And also, it's -- these equipment we're interacting with development activities and construction activities. So it will be -- it will improve the efficiencies of all our work moving forward. So we won't see that in the short term. The fact is that the blockade is a blockade. So, the pace of the blockade is something that we shall not -- if accelerate, then you have short-term gain for -- and long-term pain. So we have a good sequence that we present in the outlook. So if you look at the depletion curve of B3 and the progressive curve of C-Zone in the outlook, so what that means is we'll accelerate B3 and we will also -- it means that C-Zone will show up more in the second part of the year. But basically, we respect the ramp-up and this progressive ramp-up will go to 14,500 tonnes per day at the end of December 2025.
Mike Parkin: Okay. And is there any major shutdowns that we should be thinking about for either Q4 or Q1 of next year?
Patrick Godin: No. You're talking about New Afton or you're talking...
Mike Parkin: Either one.
Patrick Godin: No, nothing that is exceptional. So we have regular shutdown at both sites but to do the amendments we are planning our mining sequence and our production profile and nothing exceptional going forward.
Operator: Next question will be from Eric Winmill at Scotiabank.
Eric Winmill: Nice to see the results out this quarter. Maybe just quickly on the guidance for the balance of this year. Obviously, production is down a bit at Rainy but costs also coming down as well. Any additional comments there in terms of how you're able to get the cost down here for the balance of the year?
Keith Murphy: Yes, it's Keith. I'd say going side by side at Rainy River, the team has done a great job of focusing on cost control and optimization which has had the impact of reducing gross costs and unit costs as well. The open pit drilling and blasting, they've made improvements there, reducing haulage distances as well. In the mill, they've been able to optimize and lower consumable consumption. And then on the maintenance side, optimize again and look at our preventative maintenance programs and optimize and reduce costs there. On the capital side, then you we're performing the tailings dam ourselves. And so we're -- the raise this year and we're seeing savings there. And also then on the overall mining costs, capital stripping is down. There's no net impact on ASIC. So overall, kind of a lower gross cost at Rainy River. New Afton as well then, you've seen the decrease in mining costs every quarter as the C-Zone tonnage continues to ramp up. So that's having a really positive impact on costs as well.
Eric Winmill: Okay, great. Really appreciate it. And maybe just one more on New Afton, if I could. So obviously, good, positive progress here on the tailings projects. Anything additional milestones we should be looking at for the rest of this year or sort of stable over the winter months? Is that typically how it operates?
Yohann Bouchard: We are really pleased by the tailings -- the dewatering of the tailings and we are overperforming compared to the original plan. So we are sizing that dam. So I think a pretty dry year this year. And as you know, in BC, it was pretty warm too. So the evaporator overperformed compared to what we planned. We maximized the utilization period for the evaporator too. I think it's in control, nothing to report here.
Eric Winmill: Great to hear. Certainly, we're watching that.
Operator: Next question will be from Jeremy Hoy at Canaccord Genuity.
Jeremy Hoy: A lot of them have been answered already but got a few more to touch on. You mentioned that there'd be an immediately positive impact on costs from the early commercial production at New Afton. Can you provide any more specifics on how you expect this to impact the rest of this year and early next?
Keith Murphy: Yes. It's Keith again. As Yohann mentioned, the commissioning eliminates the haulage from the C-Zone level and increases our tonne throughput. Throughout 2024, we've continued to see a decrease in the mining cost per tonne as C-Zone tonnage increases and we realize the benefits from the capital investments that we've made. That trend will continue into Q4 and into 2025. I'd say once fully ramped up at C-Zone, we'll have a similar cost profile to what we had in the earliest one from 2012 to 2020. It's all trending very well.
Jeremy Hoy: Got it. Understood. And in terms of the ramp-up, the timing, like we're still talking about 14,500 tonnes per day in 2025. When are we expected to see that in 2025?
Patrick Godin: See, if I'm looking at the production profile, it is in Q4. So, we have a time range for that. When we develop a block cave, actually, we have 18 draw bells. At the end, we'll have close to 90 draw bells. So our objective is to draw as equal as possible. So we are performing extremely well on the development. We are doing also extremely well on construction actually. And if we -- when we'll get close to that, just to remind to you, 14,500 is the average tonne processed per day. So -- but the processing plant is, I think, 16,000 tonnes of capacity. So the 14,500 is including the shutdown. But actually, it will happen mostly in the Q4 of 2025?
Jeremy Hoy: Okay, that's helpful. The last one for me is on the automation system. You mentioned that, that would be online in H1 2025. Are you providing more specifics on how this will improve mining costs?
Patrick Godin: Can I start and Yohann will cover. But the main advantage is, when you go down at New Afton, it is a vehicle just to transport the employee, it's mostly half an hour to go down. It's slightly 35, 40 minutes to go up. And in BC, we're restricted -- we're limited to 10 hours per day on the ground. So the big advantage of that is the fact that we will operate between shift and it will be steady operations. So basically, what is important is -- and it's safe and people are on surface. So, it's -- I'm really impressed, honestly and what they present to me at the beginning and what they achieved today, it's really impressive. And it is difficult for us to factorize that in the cost that we have room to improve. But basically, it will mainly provide a steady operation underground on a 24-hour basis going forward.
Operator: Next question is from Michael Siperco at RBC Capital Markets.
Michael Siperco: Maybe first on Rainy River. Could you talk a bit more about what the potential there is for a pushback or the other satellite pits that you mentioned? Would that be purely gold price driven at this point or is it dependent on further drilling or other considerations? And maybe can you quantify the potential opportunity there, even at a high level?
Luke Buchanan: It's Luke here. So, like Yohann mentioned, there's a few different opportunities. So one of them is that's another pushback to the main pit. So, that one we already have at the measured and indicated resources pool. So we don't need any additional drilling for that pushback. It would just be depending on the core price of it [ph]. Currently evaluating that at the moment, just going to provide an update in the first quarter. For some of the other satellite pits around the main pit, continuing to do some RC drilling in those areas. So, we will certainly provide an update next year on that.
Michael Siperco: Sorry. So just so I heard you right, should we be expecting an update on those opportunities with the updated technical report or is that longer term?
Luke Buchanan: Yes, they will be included in the technical reports, either as resources or possibly as reserves. We're still evaluating that.
Michael Siperco: Okay. And then maybe just one follow-up. Would -- if you were to start refocusing on open pit operations at Rainy, would that have anything to do or would it impact the plans for underground development or would you think of doing both in parallel?
Luke Buchanan: We'd continue to do both in parallel. It would just -- the main benefit would be to defer the reclaim of the low-grade stockpile and to keep the mill full for longer.
Michael Siperco: Right. Okay. And then, maybe...
Patrick Godin: Again, the -- Sorry, Mike, the benefit for us will be to provide the higher quality ounces to the mill fleet.
Michael Siperco: Right, right. Offsetting the lower grade. Right. No, it makes sense. Maybe a similar conversation on capital allocation. Obviously, gold driving that opportunity. Gold up about 400 since you reconsolidated part of New Afton from Teachers. You've now declared commercial production. How are you thinking about the remaining 20% stake there? And is a full reconsolidation something that we should be thinking about, that you're thinking about when it comes to capital allocation?
Luke Buchanan: It's part of the possibility that we have. So we're always looking for these type of possibilities so that the first tranche that we bought was really strategically important for us. And I think it creates value for our shareholders. We're still keeping our mind open and it's one of the possibilities that we're currently looking at.
Michael Siperco: So would it be fair to say, if I can put words in your mouth, maybe that you have significant opportunities for organic growth, both at Rainy and potentially at New Afton that maybe keep you looking internal rather than potentially looking outside the company for growth? Is that a fair assessment?
Luke Buchanan: I don't like to bust myself in this type of question Mike, as you know but we are keeping all our options open. So I strongly believe that the good way to return value to shareholders is through organic growth when it's -- when the capital is reasonable. And we are really careful about that. And I think we have a nice possibility of our 2 assets. And we respect our people and I think that if we can increase the mine life, it will position themselves for the future and we really appreciate that. For the other's options, I can say to you that all of my peers, we are vigilant, we keeping our eyes open. And as we did recently in May, we want to grow but we don't want to grow to be big. We want to grow to create value. If we're not creating value, we'll not grow. We don't want to trade a buck for 4 quarters. And we are what -- we are vigilant and we have capacity to address different challenge. So we have a team today that were as good to mine open pit and underground and we have a lot of skills to mine different type of ore body underground and we showed experience also in the Americas. So we keep our eyes and all our options open.
Operator: Next question will be from Anita Soni at CIBC.
Anita Soni: I just wanted to ask a little bit more about, firstly, at New Afton. Could you just let us know how much the tonnage was this quarter in -- from the C-Zone?
Patrick Godin: Again, the tonnage from C-Zone. The total tonnage and what C-Zone was representing.
Unidentified Company Representative: For Q3, most of the ore is coming from B3 actually and we have, I would say, an average of about, I would say 1,000 tonne target coming from C-Zone [indiscernible].
Anita Soni: So, you said 1,000 tonnes per day from the C-Zone.
Yohann Bouchard: Yes, it's about -- I mean, we just extract enough to remove the fouling factor. I mean that's all. But what we're going to do in there in Q4, what's on that topic is we're going to -- we're going to more prioritize the construction of the draw bell and we're going to blast all at once pretty much, the other draw points to [indiscernible] bells to be more efficient in construction and save some costs. But the goal is to have at year-end about 30 draw bells developed -- fully developed to increase the footprint of the cave.
Anita Soni: Okay. Second question around Rainy River as it pertains to next year and 2026. You said you're confident in the -- that it won't impact the mine plan. Can you just talk about the, I guess, the evaluation that you did on it on the 2025 and 2026 grade profile to come to that conclusion?
Yohann Bouchard: Yes, for sure. I mean -- so your question is about factor -- maybe to reiterate our outlook 2025 and 2026, is that right, Anita? That's what you're looking for?
Anita Soni: Yes, I'm trying to understand why -- go ahead.
Yohann Bouchard: Very good. So what we did, as you know, we're in the process of preparing our budget [ph], and we basically -- we've changed -- we look at the, I would say the -- that's Rainy River, we changed really -- we look at the blocks, aggregate blocks that were remaining in Phase 4. And basically we don't have any blocks [ph] in Q3 and Q4. We have really uncertainty on those. We applied some capping as well on those blocks. But again, there's not any of those blocks at least that consistent going forward. We re-sequenced everything and basically, we came up pretty much as, I would say, the same on plan that we have -- that we present at the end of last year outlook.
Anita Soni: Yes. So I guess that explains the fourth quarter impacts but I was just trying to understand how you basically came to the conclusion that there would be no impact in 2025 and 2026. Are there no higher grade ore forms or did you apply capping.
Yohann Bouchard: This is exactly -- and I mean we did apply all the factor on the remaining of the block model, the factor that Jeff was talking about here. And basically, we revamped the mine plan and we came up pretty much at the same production.
Anita Soni: So, maybe higher tonnes lower grade? Or is that -- or is it completely different?
Yohann Bouchard: No, there's no -- I mean, the capping that's been put is really, I would say, impacting on this year but no much impact in the remaining years because there's not much high-grade blocks.
Anita Soni: Okay, great. And then, just in terms of the sustaining capital guide that you talked about being about $20 million under some from operational efficiencies and tailings dam, I guess, wins there. But the other aspect you said was a little bit of timing of spending. So how much do you think would be pushed into 2025 for the sustaining capital?
Keith Murphy: Yes. Not much. So at Rainy River, the majority -- it's Keith. The majority of the reduction in sustaining capital is effectively reclassification to OpEx. So there's about $2 million in savings on the tailings facility but the remainder is reclassed to OpEx. So that is all savings and not much deferrals at Rainy River. At New Afton in terms of capital, a little bit of deferrals on the growth side as we were down to the low end of the range but some savings as well as the team have optimized and commissioned the conveyor early.
Anita Soni: So, maybe $5 million pushed into next year or...
Keith Murphy: Yes, that's fair enough.
Anita Soni: Okay. And then lastly, on Rainy, as you brought it up with the stripping -- sorry, the capital moving to OpEx, is that a result of higher gold prices and waste becoming more? Or I'm just trying to understand why that happened and what the carry would...
Keith Murphy: It's just the timing of the strip ratio. From an accounting perspective, we have a cap on our ratio that we capitalize and when we were doing our original guidance, just the way the strip ratio ended up over the year. But the main message is there's no change in the mine plan in terms of the total tonnes. We've stripped in line with plan. It's just a little bit on the accounting reclassification.
Anita Soni: Okay. And then so next year, as I recall, earlier this year, you had said that the remaining life of mine plan, the strip was at the start of the year, 1.95 and you're doing, I guess, about 3 or more right now. So is it fair to say in 2025, 2026, you're going to be below 1:1?
Keith Murphy: Yes, I haven't got that number exactly in front of me but you're right, it's -- 2024 was focused on stripping and exposing that ore for '25 and '26 in Phase 4. So yes, we will see a significantly reduced strip ratio in '25 and '26.
Operator: Next question will be from Lawson Winder at Bank of America Securities.
Lawson Winder: I just wanted to -- well, first of all, could I ask about the reserve update for year-end? What are you guys thinking in terms of gold and copper price assumption in estimating that Reserve and Resource Update and particularly as it pertains to the exploration success you've had to-date?
Keith Murphy: It's Luke again here. So, just a reminder that at the end of last year, we used metal prices of $1,400 per ounce of gold and $3.25 per pound of copper. So with the significant increase in the consensus long-term prices this year, we are looking to modestly increase those metal price assumptions for year-end reserves. But we're still running some sensitivities and evaluating that at the moment. So I can't provide the exact numbers just yet.
Lawson Winder: Sorry, did you just say modest increase?
Keith Murphy: Yes, it's still going to be significantly below the spot prices. But yes, we are looking at an increase compared to what we did last year.
Lawson Winder: Okay, great. And I mean, I was also going to ask about your exploration budget for next year. Given that you're still in that process, I'm not sure if you can give us a very specific number but perhaps you could give us a directional range. Do you anticipate that exploration budget to increase in 2025 versus '24?
Patrick Godin: We have 2 things here because it's not -- because Jean-Francois is in the room that Jean-Francois present projects in 2024 at the beginning of the year. And so the way that we are working is, these projects were good projects. We were successful in most of them. Some others, it's geology, it's exploration that we were not. And depending on the progress, we are shipping more. So we adjust the budget 2 times during the year based on the exploration projects and the ideas that were generated by the team. So for next year, we're still working on this. We are also -- we are drilling. So the success of the current exploration work will take the next step. So -- but we will probably be next year as much as we can aggressive in this matter because it's -- actually this thing was -- it was excellent for our future. And we expect that next year also allows to define the size of key zone allow to do some -- to test other area of property. We are [indiscernible] at Rainy River. So I cannot -- I don't want to -- I can't approximate any number here. We're working on that as much as we can try to give Jean-Francois the full support -- potential support to execute his objectives.
Lawson Winder: Okay. And then if I could just ask one more question. As you think about potential expansions to Rainy River, are there areas where you could expand that would be exclusive of the Royal Gold stream or are the areas you're looking at also subject to that stream?
Yohann Bouchard: Yes. The stream is on the land package at Rainy River. So, I think most of the pit pushbacks, et cetera, would be subject to the stream. But the team are always looking at opportunities around to see if there's other opportunities. But yes, most of that is pushback, pushback would be subject to the stream.
Operator: And at this time, Mr. Shah, we have no other questions registered. Please proceed.
Ankit Shah: Thank you, Sylvie. And to everyone who joined us today, thank you again. As always, should you have any additional questions, please do not hesitate to reach out to us by phone or e-mail. Have a great day.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.